Operator: Good morning, and welcome to the Third Quarter 2025 Lifeward Ltd. Earnings Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing star, then zero on your telephone keypad. After today's presentation, to withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Almog Adar, CFO of Lifeward Ltd. Please go ahead.
Almog Adar: Thank you, Operator, and thanks to everyone who has joined us on the call today. My name is Almog Adar. I am Lifeward Ltd.'s Chief Financial Officer, and with me on today's call is our President and Chief Executive Officer, William Mark Grant. Earlier this morning, Lifeward Ltd. issued a press release detailing the financial results for the third quarter, which ended September 30, 2025. I would like to ask you to review the full text of our forward-looking statements from the press release. We anticipate making projections during this call, and actual results could differ materially due to several factors, including those outlined in our latest filing with the SEC. And with that, I will turn the call over to William Mark Grant.
William Mark Grant: Thank you, Almog. Good morning, everyone, and thank you for your time today. Since joining Lifeward Ltd. in June, I have completed a sober and comprehensive assessment of the business, starting with our strategic direction down to our commercial model and operations. What I found is a company with innovative, powerful technology, deep clinical knowledge, and a mission that matters. Also, a company that needs sharper focus, stronger discipline, and a rebuilt foundation to unlock its potential. Over the past few months, we have taken meaningful steps to rebuild those fundamentals. We have simplified how we operate, strengthened the processes that matter most to patients, payers, and providers, and begun reshaping our go-to-market approach around global access, distribution scalability, and a data-driven commercial model. The progress we have demonstrated this quarter is encouraging, an early sign that this work is taking hold. We delivered another record quarter for ReWalk placements for Medicare beneficiaries. This is our second consecutive record since CMS established their fee schedule in April 2024. We implemented meaningful operational efficiencies, manifesting in a 16% reduction in quarterly cash burn and a 27% reduction in non-GAAP operating loss compared with last year. We also expanded patient access, including receiving our first Medicare Advantage commercial revenue for our ReWalk 7 personal exoskeleton. Now with our CE Mark approval, we have expanded our access to the European market, which represents roughly about 40% of our global addressable exoskeleton opportunity. These results are demonstrating that Lifeward Ltd. is becoming a more focused, more efficient, and more patient-centered company. Earlier today, alongside our earnings release, we also announced the completion of a $3 million loan with Oramed. This capital enhances our near-term liquidity and supports ongoing execution of our transformation plan. We are still early in a multi-quarter rebuild. I understand there is more work ahead, and I have confidence in the commitment and dedication of our teams across our company to complete this transformation. We are highly encouraged that soon after implementing these measures, we are already seeing real momentum and a clear direction. We are rebuilding the fundamentals and positioning Lifeward Ltd. to serve more people, scale more efficiently, and create durable long-term value. With that, I will turn the call over to our CFO, Almog Adar, to review the financial results from this quarter.
Almog Adar: Thank you, Mark. As we review our results, I will discuss both GAAP and non-GAAP figures. The non-GAAP results exclude the items detailed in the reconciliation table in today's earnings release and, in our view, provide a clear picture of the company's underlying operating performance. I encourage you to refer to the GAAP results in the reconciliation table as we go through the third quarter 2025 financials. And now, let's discuss revenue. Lifeward Ltd. reported revenue of $6.2 million in 2025 compared to $6.1 million in 2024, an increase of $100,000 or approximately 1.1%. On a quarter-over-quarter basis, Q3 revenue increased approximately 8% from $5.7 million in Q2 2025, driven primarily by higher Medicare unit sales in the U.S. Now let's break it down by product line on a year-over-year basis. Revenue from our traditional product and services, which include the ReWalk personal exoskeleton, the MyoCycle FES bike, and the ReStore exosuit, totaled $3.1 million in Q3 2025 compared to $2.5 million in Q3 2024, an increase of about $600,000 or 24%. This increase is driven by a year-over-year increase in Medicare-related sales. During 2025, we delivered 15 ReWalk units compared to four ReWalk units delivered in Q3 2024. Revenue from the ATLAS G product and services was $3.1 million in Q3 2025, down from $3.6 million in Q3 2024, primarily driven by timing factors and quarterly revenue mix. Across both product lines, our commercial pipeline remains healthy. For the ReWalk product line, we closed the quarter with a pipeline of more than 117 qualified leads in process in the United States. In Germany, with 49 leads in process at quarter-end, 33 active rentals, which historically convert to sales within three to six months. So, altogether, we closed the quarter with 2023 systems in backlog. Moving to gross profit, in 2025, our GAAP gross profit was $2.7 million or 43.7% of revenue, compared to $2.2 million or 36.2% of revenue in 2024. On a non-GAAP basis, the 2025 gross profit was $2.7 million or 43.7% of revenue compared to $2.6 million or 42.5% of revenue in 2024. The year-over-year increase was primarily driven by lower production costs following the December 2024 closure of our Fremont, California manufacturing facility. Now pivoting to operating expenses, GAAP operating expenses were $5.9 million in 2025 compared to $5.4 million in 2024. The increase was largely driven by a $2 million earn-out write-down that we recognized in the prior year quarter. On a non-GAAP basis, adjusted operating expenses were $5.7 million in 2025 compared to $6.7 million in 2024. The decrease primarily reflects greater efficiency in reimbursement activities, improved efficiencies in marketing and sales operations, and lower R&D spending after the completion of major development programs. We expect this positive trend to continue into 2025, supported by the ongoing impact of our efficiency measures. Our GAAP operating loss for 2025 was $3.1 million compared to $3.2 million in 2024. On a non-GAAP basis, operating loss was $3 million compared to $4.1 million in the same period last year. We expect our quarterly operating loss to further reduce in 2025 as sales volumes continue to grow and efficiency measures continue to take hold. Net of balance sheet and cash flow, we ended 2025 with $2 million in cash and cash equivalents and no debt. This amount includes the full gross proceeds raised through our ATM facility, which totaled approximately $1.2 million. Our operating cash usage in 2025 was $3.8 million, compared to $4.5 million in 2024. The improvement reflects the benefits of operational efficiencies and the consolidation of our manufacturing facilities. Following the end of the quarter, we entered into a $3 million loan agreement with Oramed, providing additional capital support to further strengthen our liquidity position. Based on our current plan, we remain a growing concern with sufficient cash to fund operations into 2026. We continue to evaluate all opportunities to support our operations and growth plan while continuing to implement cost management initiatives to preserve resources and maintain focus on our core businesses. Lastly, financial guidance. Lifeward Ltd. is reaffirming full-year 2025 guidance, including expected revenue in the range of $24 million to $26 million and a projected non-GAAP net loss in the range of $12 million to $14 million. With that, I will turn the call back to Mark.
William Mark Grant: Thank you, Almog. Since June, we have been focused on rebuilding the fundamentals of Lifeward Ltd., defining our strategic direction, sharpening our commercial model, improving operational discipline, and aligning the organization around a more scalable and data-driven approach. The progress we delivered this quarter shows that the foundation we are putting in place is working. We are executing with more consistency, more focus, and greater alignment across the company. As you heard from Almog, part of this transformation is that we are consistently assessing opportunities to enhance our financial position. We have had a number of productive conversations across the landscape, and we will continue evaluating all options that could support our long-term strategy. We are also not dependent on any single path. Our focus remains on making decisions that position Lifeward Ltd. for durable value creation. We have meaningful opportunities in front of us across our existing markets, in global expansion, and through the strategic avenues we are exploring. We are committed to building a stronger, more efficient, and more impactful Lifeward Ltd. for the future. Thank you for joining us for the call today and your continued support. Operator, let's open it up for questions.
Operator: We will now begin the question and answer session. On your telephone keypad, if you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. Again, it is star then 1 to ask a question. At this time, we will pause momentarily to assemble our roster. The first question comes from Yale Jen with Laidlaw and Company. Please go ahead.
Yale Jen: Good morning, and thanks for taking the questions. And I just have a little bit of detailed things here. First of all, I just want to confirm that you mentioned that the 33 systems in rental. Is that correct? If so, what's the breakdown between the United States and Germany?
William Mark Grant: Can you repeat the question, Yale? Breakdown for the rental. How many rental systems are for the ReWalk of the quarter, and what's the breakdown between the United States and Germany?
Yale Jen: So we may, as I mentioned in the call, we have 33 active rentals, all of them in Germany.
Yale Jen: All in Germany. Okay. Great. That'd be great. Okay. And my second question is that in the previous quarter, you have a collaboration with CoreLife. Just curious what kind of impact you may have felt in the third quarter or even going forward?
William Mark Grant: Yale, thank you for the question, and good to hear your voice today. So the partnership with CoreLife has been going well, and so we have both been diligently working into this partnership and building the pipeline over time. It has grown each quarter, and we are learning the training processes and what it takes to reach those patients for marketing efforts. So we are excited about that partnership and looking for it to expand in the future.
Yale Jen: Okay. Maybe the last question here is that you mentioned that you have the highest percentage of ReWalk from Medicare, which is a great development. Just curious, do you have any colors in terms of what percentage of, I guess, from the dollar sense, that were from Medicare versus others? And thank you.
William Mark Grant: So it is reflecting that this page is approximately 50% of our total revenue for ReWalk products only, not taking into account the other G product.
Yale Jen: Understood. Understood. And maybe just to tag one more. What's the actual rough revenue in the two of ReWalk within the $3.1 million of the traditional product sales?
William Mark Grant: $2.9 million is related to the ReWalk product, and the other is mainly the MyoCycle.
Yale Jen: Okay. Great. Thanks, and I really appreciate it, and the best of luck for you guys.
William Mark Grant: Yeah. Thanks for the questions.
Operator: The next question comes from Swayampakula Ramakanth with H.C. Wainwright. Please go ahead.
Swayampakula Ramakanth: Thank you. And this is RK from H.C. Wainwright. Good morning, Mark. And Almog. Morning, RK. A few questions from me. So starting off from the top, Mark, as you said, you looked down through the different aspects of the company and did a review. What have you learned in that compared to when you did the due diligence coming into the company? And what sort of what aspects of the operations do you think require changes so that we get to not only the inflection point but also the growth stage of the company?
William Mark Grant: Okay. Thank you for the question. So quickly, I think first and foremost, the fundamentals of the business really have to be established from the ground up. You know, good visibility into KPIs, understanding data, and deploying resources where data supports it. And that's number one, kind of the first thing. I saw a little bit of that coming into the role, but not as much as I got into it a little deeper. Secondarily, we have the opportunity to form some great strategic partnerships and channel management, and that comes in two flavors. One is it allows us to gain broader access to patients through all the payers across the U.S., and secondarily, it's a population of patients that are really targeted in our environment. So I'm excited because I've got roughly twenty years or twenty-five years of experience in that channel management and also across payer access. And so the channel partnerships coupled with payer access and payer policy development are key for our success going forward. And then the last piece around operations is frankly just scale. We've got a good growth plan in front of us, so we have to make sure we can keep up with it and be reproducible with high quality. So I think if I boiled it down to four different pieces, one of which is establishing true and solid fundamentals. The second is making sure we are leveraging channel partners as strongly as we can and ensuring access for everybody. The third is access across all payers across the globe, so no patient is left behind. And the fourth is ensuring we scale for the future with good COGS.
Swayampakula Ramakanth: Thank you for that, Mark. And then, when you talk about channel management, what triggered the increased sales into Medicare this quarter, the third quarter, and how much of that could be sustained into future quarters?
William Mark Grant: The good news is the channel management is starting. So as we go into Q1 of next year, you will see the reflection of that. So right now, we are just cleaning up the fundamentals. The channel partnerships take a bit to develop, and so you are not seeing a reflection of it at all. What you are seeing right now is a focused Salesforce where we divide the Salesforce into two pieces. We have one that's focused on capital sales and one that's focused on the patient, payer, and access. Okay. But more to come on that one. That's the good news. Right? That is true.
Swayampakula Ramakanth: So Almog, you reaffirmed the guidance to $24 to $26 million for 2025, which means you are asking for a 21% growth from the Q3 number, I think, if my calculations are correct. And you grew based on your own press release, you grew 8% between Q2 and Q3. So what gives you the confidence that you can get that 21% growth?
Almog Adar: First, hi, RK, and thanks for the question. As you know, Q4 is usually the strongest quarter for us at ReWalk for both products, AlterG and ReWalk, and what gives me the confidence that we will achieve our guidance is the existing backlog for both products and the strong pipeline that we are managing.
Swayampakula Ramakanth: Okay. Thank you for that. And then on the AlterG, what happened there? Because it looks like there was a 15% decline. What needs to be done so that we can kind of just stabilize the ship and let it sail again?
William Mark Grant: Yeah. RK, this is really about the core focus of the sales teams. We have a neuro rehab team that has been selling capital and selling into the neuro rehab space. And, frankly, what that does is that loses some of the focus that you really need. So we have started a couple of beta programs, which will expand out to the broader community as we go into the next year. But where we have a dedicated capital team that will be selling AlterG, and we will have a highly focused neuro rehab team that will be selling ReWalk. And this is in particular to the U.S. Just as a comment, Germany continues to be very successful in both efforts. We are really refocusing the strategy here in the U.S.
Swayampakula Ramakanth: Okay. And talking about Germany, you were commenting a little bit on ReWalk 7, and Europe could be an opportunity as much as 40% of your total sales. So to that end, how is ReWalk 7 being introduced? And is it still the workers' comp insurance that you are looking into, or is it outside of that insurance segment, you have any visibility or actually could gain some adoption in other segments of the market?
William Mark Grant: Yeah. When you look at Germany, I think the one thing, the key indicator, and I'm going to reinforce where we started, is there are 33 active patients that are in their rental period now. There's a high percentage of those that actually convert, and a high percentage of those convert in three to six months. And so for me, that's really the health of their pipeline and looking at how that business is growing, so it's a solid pipeline. Secondarily, we do have good coverage. About 40%, we have coverage directly, but we have 100% access to all patients. So the good news is when you look at Germany in particular, not the total European nation, but you look at Germany, we've got exceptional access. We have opportunities to expand outside of Germany as the MDD listings and other things come together. So we still have to actually get ReWalk 7 across all the payer entities and countries, but it gives us great access because of the CE mark. So more work to do on access, but trust me, we're doing really well.
Swayampakula Ramakanth: Okay. The last question from me. I have been watching Lifeward Ltd. for a long time. And you know, the company did have a few situations where the financial overhang became quite a bit to bear. But, again, we are in that position now. And from your experience and from how you see it, how comfortable are you to get over this hump? And hopefully, is this the last time we do that?
William Mark Grant: Yeah. RK, look. I'm not naive. Right? So, you know, this is a tough place for any company to be, but as you can tell from my voice and the plan that we put together and also my experience, I'm actually excited to be standing where I'm standing. And so it may feel and look like the bottom, but the reality of it is, you know, those in business actually feel like this is a great place. What I'm excited about is we have a good turnaround story. The fundamentals of the business are repairable in short order. There wasn't really anything broken. And so I'm excited about that. Secondarily, the innovation is exceptional. And so if you look at the products in the portfolio with the ReWalk 7, how strong the hardware is, how easy it is to iterate against for the software, same thing with AlterG, first in class name, first in class brand. Something you can also get after on innovation. And there are other products in this space that are available for aggregation at good value discounts. I'm excited about where we are. But, again, I want to start off. I'm not naive. This is not going to be an easy path. Hence, why we've been having so many conversations across the landscape. To make sure we can find the best partner to suit with. You know? And I'm optimistic that we're going to find the right one.
Swayampakula Ramakanth: I am very optimistic too because I have seen this company go through a lot of things and they've always come out, you know, better than the previous, you know, better than the situation that they were at. So good luck, and thank you for taking all my questions.
William Mark Grant: Yeah. Thank you. We'll talk to you soon.
Operator: Once again, if you have a question, press 1. And we have a follow-up from Yale Jen with Laidlaw and Company. Please go ahead.
Yale Jen: Thanks for taking my follow-up questions. And in terms of the AlterG, I remember last quarter, you guys were talking about expanding to the sports arena versus just in the medical space. Just like to get some updates on that effort, and thanks.
William Mark Grant: Yale, you got a great memory, and I'm glad you brought that up. That is part of the broader strategy. So we have two beta regions right now within the U.S. where we've actually switched to having a capital sales team and to having a neuro rehab specialist. So the capital sales team focused on AlterG, rehab specialist, and the other focused on ReWalk 7. And so those efforts have just started. So I would expect that you're going to see some stronger results as we turn into the new year. But we've already made those fundamental changes. We do know from our customers and from our pipeline that we're seeing good growth. But we also haven't rolled it out across the entire U.S. So more to come on that as we actually execute against the transformation. But we were opportunistic. As we had changes in the space, we went ahead and put it into play. So we are going to have a team that's focused on high school sports, elites, and up. They're also going to be focused on rehab facilities, but they're going to get the support of the neuro rehab specialist that call on ReWalk. So you kind of get the double dip. So we're going to cover the rehab centers explicitly with two different people, and then you're going to have a dedication of a capital goods sale and then also someone who could work with patients, payer, and providers in the neuro rehab space. So bifurcating the space, we know from outside the U.S. Also, I know from my history is really important for the end user, for the customer and the buyer. So bifurcating the Salesforce will give us the focus needed to deliver against better fundamentals and also the growth you expect.
Yale Jen: Maybe just to add on here is which is that in terms of the sports arena, would that be practically all self-pay instead of any other venue of reimbursement?
William Mark Grant: You know, for sports, yes. But we do get a tremendous amount of the business from government and grants outside the U.S. So there is a good blend. Right? So it's all not just self-pay. So the DOD and others support us very well with all of our products. And then it's likewise outside the U.S. You know, we get tenders for these products on a daily basis.
Yale Jen: Okay. Great. That's very, very helpful, and thanks a lot, and best of luck going forward.
William Mark Grant: Thank you. Appreciate it, Yale.
Operator: This concludes our question and answer session. I would like to turn the conference back over to William Mark Grant for any closing remarks.
William Mark Grant: Hey, again, I want to thank everybody for joining the call today and just let everybody know that we're at a unique inflection point here at Lifeward Ltd., we're excited to be here and appreciate the support that we get from you. We're looking forward to meeting the expectations that you guys set in the market. With that, I'll close the call, and appreciate everybody's time. Talk to you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.